Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2018 Universal Electronics Incorporated Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we'll conduct a question-and-answer session, and instructions will be given at that time. [Operator Instructions] As a reminder, this call is being recorded. I'd now like to turn the call over to Kirsten Chapman. You may begin.
Kirsten Chapman: Thank you, Michelle, and thank you all for joining us for the Universal Electronics first quarter 2018 financial results conference call. By now, you should have received a copy of the press release. If you have not, please contact LHA at (415) 433-3777. This call is being broadcast live over the Internet, a webcast will be available for one year at www.uei.com. In addition, any additional updated material nonpublic information that might be discussed during this call will be provided on the Company’s website where it will be retained for at least one year. You may also access that information by listening to the webcast replay. After reading a safe harbor statement, I will turn the call over to management. During the course of this conference call, management may make projections or other forward-looking statements regarding future events and future financial performance of the Company, including the Company’s ability to anticipate the needs and wants of its customers and timely develop and deliver products and technologies that meet those needs and wants, including the Company’s advanced control products, which include the continued adoption of our voice remote control and intuitive two way home entertainment technologies by existing and new customers; the continued incorporation of our QuickSet technologies and to customer products as expected by management, the continued acceptance and growth of companies connected home products and technologies including security and control, temperature controllers and automation and other technologies identified on this call; the timing of new product rollout orders from the company's customers anticipated by the management, the continued trend of the industry in providing consumers with more advanced technologies, the successful completion of the sales of the company's Southern China factory as expected by management, management's ability to manage its business to achieve its revenue, margin and earnings as guided and other factors described in the company's filings with the U.S. Securities and Exchange Commission. Management wishes to caution you that these statements are just projections, and actual results or events may differ materially from those projections. The Company undertakes no obligation to revise or update these statements to reflect events or circumstances that may arise after today’s date. For further detail on risk, management refers you to the press release mentioned at the onset of this call and the documents the company files from time to time with the SEC, including the annual report on Form 10-K for the year ended December 31, 2017, and periodic reports filed thereafter. These documents, along with the risks identified on this call, contain and identify various factors that could cause actual results to differ materially from those contained in management’s projections or forward-looking statements. In management’s financial remarks, adjusted non-GAAP metrics will be referenced. Management provides adjusted non-GAAP metrics because it uses them for budgeting planning and purposes and for making operational and financial positions and believes that providing these non-GAAP financial measures to investors as a supplement to the GAAP financial measures helps investors evaluate UEI's core operating and financial performance and business trends consistent with how management evaluates such performance and trends. Additionally Management believes these measures facilitates comparisons with the core operating and financial results and business trends with competitors and other companies. The non-GAAP measure excludes amortization of intangibles acquired, stock-based compensation expense, employee related restructuring costs, changes in contingent consideration related to acquisitions, the impact of the adoption of ASC 606, the impact of foreign currency exchange rate fluctuations and the related tax effects as appropriate. A full description and reconciliation of these adjusted non-GAAP measures versus GAAP is included in the Company’s press release issued today. On the call today, are Chairman and Chief Executive Officer, Paul Arling, who will deliver an overview; and Chief Financial Officer, Bryan Hackworth, who will summarize the financials. Paul will return to provide closing remarks. It’s now my pleasure to introduce Paul Arling. Please go ahead, Paul.
Paul Arling: Good afternoon, and thanks for joining us today. For the first quarter of 2018, net sales were $170.6 million up 5% from the year ago period. Gross margin reached 25.6%. As expected, margins improved sequentially from 23.6% in the fourth quarter of 2017. EPS was $0.62 within our guidance range. We continue to be excited about the next phase in the home entertainment evolution that use voice activated commands to control advanced intuitive two-way home entertainment systems. Once again, UEIs technology is at the forefront of these systems. As is typical with innovative technological changes, adoption will take time and it usually takes more time than we would expect, as exemplified by prior technology shifts from analog to digital, from non-DVR to DVR and from standard definition to high-definition. The transition will happen and we continue to be excited about our long-term growth prospects. For example our QuickSet technology is now designed in platforms that represent nearly 30% of the world subscribers in the markets we serve. With recent wins in the smart TV space, our QuickSet technology will soon be the system control engine that powers products from leading smart TV brands that represent approximately 40% of the worldwide TV market. The smart TV market is strategically important as an estimated 70% of consumers worldwide actively use their smart TVs to access over-the-top streaming services. Nonetheless, our guidance for Q2 is below consensus and below what we expected. This is due to several factors. At this point, I think it's important to take a step back and explain the reasons for these customer order fluctuations that are currently, that we are currently experiencing. First is inventory rebalancing, cable industry customers routinely order slightly more than they deploy for a period of time and then order less than they deploy for a period or two to bring their inventories back down. These ordering patterns cause an ebb and flow effect, but balance out over the longer term. Second when the industry is in a transition, as it is right now and our customers are planning an exciting new system upgrade, some of our customers may reduce orders of the existing platform in front of the planned upgrade. This behavior is not pervasive in that very few of our customers have exhibited this behavior and while such order patterns may affect the short-term, new product purchases will rise to equal deployments. So these truncated order patterns resolve themselves with time. Third, from time to time, companies put in place constraints that free up capital for other strategic priorities such as acquisitions. Again these constraints historically get relaxed with time. Next, I'd like to discuss the widely reported effects of subscriber losses by cable and satellite companies. Clearly these subscriber losses if sustained can and will have a negative effect on our long-term business. We do not think that these losses are the primary contributor to the Q2 sales decline, mainly because there have been subscriber declines in prior periods, yet our business grew due to the increase share in the sale of higher value products to consumers. Obviously subscriber count in our sales results in the short term are far from perfectly correlated. It is also important to note here that these future projections presume a static world. Many industry participants including many of our current customers have introduced or are planning to introduce home entertainment platforms that combine the best of both worlds, that is a combination of live TV programming, supplemented with popular over-the-top services, all access to an intuitive easy-to-use interface powered by UEI technology. As I've said before, change does not come without tumult. The exciting changes in our industry have our customers deploying products that are more technically advanced, easier to use and more intuitive than ever before. These movements in order patterns have always affected our business. For us, most times it is positive. In Q2 however, the effect is forecasted to be negative. That said, during this year's first quarter several positive events have occurred. In our pay-TV year subscription channel, we continue to see a strong uptick in the number of active design wins for our voice remotes globally. Today we have over 20 new voice remote control products that are in development or going through design review. In EMEA, we are working with four of the largest MSO's on their next-generation platforms. These advanced platforms are currently in or plan to go into field trials this quarter and are expected to roll out in the back half of 2018. Also our international sales funnel continues to be strong as operators worldwide are actively looking to launch advanced remote control platforms, including many with voice. This is of course true in higher ARPU markets such as North America, Europe, Japan and others, but is now also true in emerging markets such as Latin America and India. As you may recall at CES 2018, we announced our android TV voice remote platforms. Early indications for these new remotes show a positive trend and we expect to introduce these products with three new mid tier operators in India and Latin America later this year. We also are actively involved in four more voice control proposals in EMEA that we expect to close next quarter. Further, our world leading QuickSet platform continues to penetrate the global pay-TV channel. Recently we have expanded our list of QuickSet technology adoptees by adding three new operators’ one in the Americas and two in the Asia-Pacific region, that combine represent a potential addition of 12 million subscribers. This will bring our global QuickSet penetration to operators that represent nearly 170 million subscribers worldwide or nearly 30% of the markets we serve. In our consumer electronics OEM channel, Samsung and Sony, which represented nearly a quarter of the global television market in 2017, both released their 2018 smart TV models with UEIs QuickSet integration. We are also actively working with several other leading smart TV platforms that are expected to launch in 2019. When these new wins launch, our technology will be embedded in television brands that represent nearly 40% of the global TV market. In our climate control product category, sales continue to be strong as customers such as Daiken and Toshiba have now launched their Wi-Fi connected platform solutions using UEIs embedded low power RF technology. THESE wins are primarily in our APAC region and we continue to win new connected home product designs in HVAC, lighting, motorized shades and personal hygiene. According to ABI research, these product categories are projected to grow between 20% and 50% annually over the next four years. In our security sensor business, late last year we began shipping to a major consumer DIY security customer. We recently finalized more new products for this customer and their launch is planned to start in Q3. We expect to see continued growth in this business during the second half of this year. With that, I'll turn the call over to our CFO, Bryan Hackworth for a review of the financials.
Bryan Hackworth: Thank you, Paul. As a reminder, our results for the first quarter of 2018 as well the same period in 2017 will reference adjusted non-GAAP metrics. First quarter net sales were $170.6 million compared to $162.3 million for the first quarter of 2017. Business category net sales were $159.2 million compared to $151.3 million in the first quarter of 2017, representing growth of 5%. This growth was driven by the continued transition to advanced platforms with strong performance in Europe and Asia, partially offset by slightly lower performance in North America. In addition, our home security sensor business continues to be a growth driver as more households are likely to add our security sensors to the network home. Consumer category revenue was $11.4 million compared to $11 million in the prior year quarter. Gross profit was $43.6 million or 25.6% compared to 26.7% in the first quarter of 2017 and 23.6% in the fourth quarter to 2017. As expected, our gross margin percentage improved sequentially, reflecting operational improvements at our China factories. Operating expenses were $32.3 million compared to $31.7 million in the first quarter of 2017. R&D expense was $5.9 million compared to $5.4 million in the first quarter of 2017, reflected our continued investment in technologies that enhance the user experience. SG&A was flat at $26.4 million compared to $26.3 million. Operating income was $11.3 million compared $11.8 million. The effective tax rate was 14.5% compared to 19.4%. Net income was $8.8 million or $0.62 per diluted share compared to $9.2 million or $0.62 per diluted share in the prior year period. Next, I'll; review our cash flow and balance sheet at March 31, 2018. We ended the quarter with cash and cash equivalents of $40.2 million compared to $62.4 million at December 31, 2017. As noted in 8-K filed on April 17, we expect to complete the sale of our Southern China factory by June 30 of this year. Our gross proceeds based on the current exchange rate will approximate $54 million. DSOs were approximately 83 days at March 31, 2018 compared to 72 days a year prior. Net inventory turns were approximately 3.5 turns at March 31, 2018 compared to 3.8 turns the year prior. Now turning to our guidance for the second quarter of 2018, as Paul noted certain customers are reducing orders to rebalance their inventory, preserve capital and manage their platform transitions. We expect these actions to impact our near term results. As such, we expect net sales to range between $158 million and $166 million compared to $177.9 million through the second quarter of 2017. EPS is expected to range from $0.35 to $0.45 compared to $0.78 in the second quarter of 2017. I would now like to turn the call back to Paul.
Paul Arling: Thanks Brian. As I've said before, strong companies become stronger as they manage challenges and the path to growth is never smooth. Those messages still ring true. Our industry and the industries we serve are at the beginning of the next technology sea change in UEIs technology is leading the way. Our customers are working feverishly to bring systems with differentiating user interfaces, enabling One Touch View and connected voice that their subscribers can't live without. Some early adopters have already launched voice-enabled devices with UBI technology while many others are in design or testing stages. While we do not control the pace of launch or adoption with the preponderance of new products already being powered by our technology, we are primed to capture this great opportunity. We will continue to innovate, create more industry-leading technology and improve our operations, all of which will contribute to enhanced shareholder value over the long-term. We are the de facto standard for what TV and home controls will be in the future, stay tuned. Operator, we would now like to open up the call for questions.
Operator: [Operator Instructions] Our first question comes from Greg Burns of Sidoti and Company. Your line is open.
Greg Burns: Good afternoon. I just wanted to understand I guess the issues that the order rates in your channel, is that mostly around reducing orders for legacy products or are you seeing customers that maybe already in lots reducing their orders for their advanced remotes like where is the variation that's negatively impacting you coming from with your customers?
Paul Arling: Brian it's a good question. On the current platforms to have out, unfortunately there are the majority of industry participants haven't yet introduced their next-generation platform. There are some out, but I would say the majority of the order truncations have been with not having to do with new platforms simply because many of those new platforms are not currently out.
Greg Burns: Okay. And I think we ran through this similar issue maybe a year or so ago. Can you maybe give us an example of how this has kind of worked out in the past and what's your view for the balance of year? Do you expect the second half to be stronger as these order patterns work themselves out?
Paul Arling: Yeah while I can't provide that future guidance, it's been our long-standing policy to only provide guidance for the current quarter. I would just say that typically all the things that we mentioned in the prepared remarks have been true before, maybe not to the level they were for our guidance for Q2, but customers over time have -- had order patterns where again they ordered maybe a little bit more than they needed for a couple periods and then they order a little bit less than they need because it is certainly a truth that over the long-term, purchases must equal deployments right. So if you order a little bit more than you deployed in any given period or number of periods, than there will be a number of periods where you'll order less than you deployed and you'll bring your inventories down. We have had a few customers across time that will try to run down inventory of the prior generation and when you're in a state of industry transition, you'll sometimes see this where customers will interrupt in order pattern more severely in front of a new product introduction and then you'll have another effect which is sometimes in these companies constraints get put in place on procurement to preserve capital for other strategic alternatives that those companies are pursuing. Sometimes you'll see all of those things happening at once in one company. Sometimes you'll see one of those things happening in one company. It varies in each individual circumstance. So unfortunately in Q2 we're seeing numerous customers and in some cases top 10 customers that have an interruption in their order pattern driven by one or more of these reasons.
Greg Burns: Okay. And I don’t recall you calling out FX from your non-GAAP adjustment previously. Can just help us understand where that FX headwinds coming from?
Bryan Hackworth: Yeah, we announced it last quarter Greg. So we started during the last quarter and what we're trying to do is we're trying to show consistency and a constant comparison between quarters and FX was a factor. So it order to compare apples-to-apples we went to a constant currency basis. So the headwinds it mainly in China where the dollar has weakened versus the RMD. So you get a little bit of headwind on that, but that will fluctuate over time for the last 10 years it's kind of isolated between 6.3 and call it 6.8 that range. So again in order to compare apples-to-apples we went to a constant currency effects or using essentially the average exchange rate in Q1 '17. So again a constant comparison.
Greg Burns: So your non-GAAP EPS guidance for next quarter also backs out the negative impact of currency?
Bryan Hackworth: For this quarter, that would be true. It can be positive or negative. In this quarter, it would be back out and negative, that's correct, but in the long run, it won’t benefit or hurt us because it's sometimes the exchange rate goes in your favor and sometimes it doesn’t. So it's just in order to from an operating point of view to be able to compare us on apples-to-apples basis.
Greg Burns: Okay. Thank you.
Operator: Our next question comes from Steve Frankel of Dougherty. Your line is open.
Steve Frankel: Good afternoon, Paul. I am sorry I didn't quite understand your answer to the first question. Are you saying that the majority of these order reductions are on advanced platforms or the older platforms that they're trying to flush from the system.
Paul Arling: Well again it's on whatever current platform they're on because that's how they typically run. They order the platform they're currently deploying.
Steve Frankel: Well okay. So let's narrow it down. So it includes…
Paul Arling: Most of our customers, since most of our customers are not on their advanced platform yet, but if you do a customer count, the majority of them would be on the historical platform simply because they haven't introduced the new platform yet.
Steve Frankel: But are there material customers on the new platform that are also producing their run rate?
Paul Arling: There could be, it's whatever their current platform, whatever current platforms they're buying ,whether they are advanced or the non-advanced platform that came before it, they will, they truncated orders for the reasons mentioned.
Steve Frankel: I guess I'm having a hard time kind of squaring this with the optimism three months ago that you had multiple new customers ready to ramp and you named names, which you didn't normally do. What changed and just sometime in the last month or so, you've seen these order rates fall off a cliff, that's what's changed in the world or have we also had deployment slowed down?
Paul Arling: Well no. We've mentioned the customer names, there is still going, they're in trial or testing depending on the customer. So those are all still true. Over the last number of months, the orders have come in slower than we would've expected them to.
Steve Frankel: Okay. And where did Comcast end up for the quarter as a percentage of revenue and if there's any other significant customers like DirecTV, can you call those out?
Paul Arling: Yes Comcast came in at 23.1% for first quarter and they were the only 10% or greater customer.
Steve Frankel: Okay. And to try to square the significant sequential drop in revenue with the earnings guidance, are we going to see continued sequential gross margin improvement despite the fact that you're going to have to take an overhead hit because of the lower right.
Paul Arling: Yes that's a good question. I think we're going to see continued improvement in our factory production. I think we've -- the guys have done a good job in streamlining the process and becoming more efficient. I think from an efficiency standpoint, in terms of what we had to improve to get to where we were at our southern factory, I think we were probably about 6% all the way there. So there is room to grow there. But to your point the headwinds we'll have is if the sales are lower, then production will be lower and so will overhead absorption and there is other variables that go into cogs that are difficult to predict like commodity prices and things of that nature, but I should -- we should see improvement from an efficiency standpoint, but then from a -- if the sales don't pick up and we aren’t able to produce, then it will be a little bit offset on a overhead absorption point of view.
Steve Frankel: Well so again I am trying to get to your numbers and it's hard to get there unless I assume a material pick up in gross margin, which seems kind of counterintuitive. So maybe help us out by where are you assuming OpEx is going to be in Q2?
Bryan Hackworth: Similar to Q1.
Steve Frankel: Okay. And what are these contract assets that showed up on the balance sheet all of a sudden?
Bryan Hackworth: It's basically receivables. What happens, there was an accounting change that I am sure you’ve seen with our companies and it relates to revenue recognition. So the rules have changed dramatically and we are having to do is we're having a book in certain situations you book a sales for inventory that's for a custom product, for example that you haven’t even shipped yet. So if you haven’t shipped it that means you haven’t build it and having to do a manual drill entry to book AR and that's what their assets is. So all companies have to adopt this starting January 1, 2018.
Steve Frankel: Again, so this is something that it's in essence are receivable and we have or haven't seen the revenue associated with that yet?
Bryan Hackworth: For GAAP purposes, we have seen the revenue, but I did for pro forma, I wanted for apples to apples. So I basically for pro forma I treated the revenue recognition as we have since the company's inception.
Steve Frankel: I'm having trouble keeping track of all the accounting adjustments. So you're saying the net $22 million that's in the 170?
Bryan Hackworth: Yes, the net effect on revenue for Q1 for this new revenue recognition accounting literature was about $7 million. So under GAAP its $164 million, but under the -- under the way that we have accounting for revenue for the last 25 years, it's $170.6 million.
Steve Frankel: Okay. But this whole bit I just want to make sure it's clear that $22 million, that whole $22 million, that's not something that was $22 million in the quarter's revenue?
Bryan Hackworth: It is, but then there was, this is where it gets tricky. We lost $29 million that goes into retained earnings of the cumulative effect of an accounting change as of 1/1/2018 and we pick up $22 million. So actually we lost $7 million from this accounting change. It gets a little tricky but…
Steve Frankel: Well, I guess Paul given all the stops and starts of last year and how disappointing that was for investors and here we are again, how do investors start to get comfortable that this is a business that can grow more consistently?
Paul Arling: Well I guess I would just say this, the platforms that we're in and the number of them has not changed to negative only to the positive. As I said during the prepared remarks we have two customers that have signed up for a platform that will incorporate this IP connected two-way QuickSet enabled technology. At this point, it's a question of all of our customers who are in fact as I said feverishly working to get these things ready for introduction, actually getting them all introduced and we've obviously been disappointed as well that some of them have taken longer than we would expected, some of them are not behind. They were expected to come out this year and we would still expect them to come out this year. But I guess for the long-term Steve, this market is in a state of change. These customers all realize that they need to make their interface better, more intuitive, easier-to-use and many if not most of them, are incorporating all of the entertainment options that the consumer wants to watch. So the average person was watching five hours a day of television here in the U.S. is going to watch multiple things, while they, when they sit down to watch at night and these platforms contemplate that, but they are technically more difficult to put together and get out and we are ready on many of these, but our customers have yet to deploy them. They will and it's still our belief that we're very confident that they will do that, but they have technical issues to work out. So it's continued delay of that, but again the comfort one should or discomfort because if people think that they won't roll those out, that's one belief. We believe that all of these platforms are going to launch because our customers are indicating to us to get level of work they're putting into this and the level of work we're still putting into getting them ready, it is coming.
Steve Frankel: And what's your confidence level that this time the factory sale will close on the anticipated deadline?
Paul Arling: Yeah we ended up terminating the first agreement and we entered into a second agreement with a second buyer. So there is always risk when you're dealing with the government, but things are going smoothly. They are relying on the due diligence that was done by the previous buyer and there is I can't sit here and tell you it's guaranteed, but things are going very quickly. And the hang up that we had with the first buyer through the due diligence phase, the second buyer is just not having issue with it. So again it's not a guarantee, but things are moving very smoothly and quickly.
Steve Frankel: Okay. And let me sneak one more in here. I'm just trying to reconcile your GAAP and non-GAAP numbers and in one of these breakouts you quote operating expenses on a GAAP basis at 36 to 98, but the GAAP P&L has operating. Okay, now I guess that's right sorry, no that's me, never mind, that's right. Okay. I'll figure it out, thank you.
Operator: [Operator Instructions] Our next question comes from Jeff Van Sinderen of B. Riley FBR. Your line is open.
Jeff Van Sinderen: Good afternoon. Paul just to follow-up on the introduction of Next Gen, maybe you could just frame for us what inning you think we're in for those Next Gen deployments and just wanted to confirm that you do expect your revenues to resume growth and do you still think it's just a matter of when not if in your view?
Paul Arling: Yeah well the question on inning, I'm not quite sure it might be the one out in the second inning. I am not quick sure. It's relatively early though because again there is so -- there are a small subset of the worldwide industry that have begun their implementation of these programs. So there's quite a few that have not yet. So I would say it's very early at this point. As far as our confidence in these platforms getting introduced, it's high. Again were obviously working with these customers to prepare for these implementations and I don't really see any sign that they're not committed to putting these out. They are committed to putting them out. In fact, in many cases they put a great deal of work behind us and maybe one of the reasons that they're delayed is they want to make sure they're as good as they possibly can be before they introduce them because they're presuming they want to make a large impact when they put it out. So some of the delays have probably been caused by that but our confidence that these programs are going to move forward is high.
Jeff Van Sinderen: Okay. That's helpful. So no signs of them scrapping any projects at this point?
Paul Arling: No. We have no canceled projects.
Jeff Van Sinderen: Okay. Very good and then you mentioned the new pay-TV and TV OEM projects that will drive growth in the future. I think you spoke toward 2019, can you expand on that a bit those projects and I guess how you see them contributing to revenues and maybe order of magnitude if there's anything you can add there?
Paul Arling: Yeah, sure. The two that we have announced were for '18. As you probably know that the TV design cycle is annual and typically their designs would be finalized by either now or this summer for 2019. So the designs are and then the designs are typically introduced at the beginning of the year, typically around CES and then their products are either shipped at CES or shortly thereafter and that's the difficult design cycle in TV. So this year two major brands and we were able to name these, Samsung and Sony, have designed in. Samsung have done it actually for years before and has increased the number of SKUs under the QuickSet technology, but those two brands are adoptees of our engine within their TV and they account for about 25%. Those two brands account for 25% of the world's television sales. We're currently closing on multiple other brands that would bring that number to about 40%. So other names that we can't yet mention that we expect to have this technology designed into in the 2019 products and those brands will account for 40% of the TV market worldwide.
Jeff Van Sinderen: Okay. So even if they are using, if they happen to be using OTT on these new TVs, these new smart TVs, you're built into those?
Paul Arling: That's correct, yes. And our technology is what would control those TVs and typically it's QuickSet. So if you connect other things to the television, it will not only control the over-the-top service that they may have resident in the software of the TV, but they will also control the other things that you’ve plugged in. So if you plug-in an Xbox or a your live TV feed, your cable box, it will be able to control anything connected to that television.
Jeff Van Sinderen: Okay. Great. And then one another follow-up I had maybe you can just give us, kind of your latest thoughts around Comcast, I think announced that they were partnering with Netflix if I am not mistaken. I just think that that sort of speaks to the either/or arguments around linear versus OTT maybe you can just touch on that partnership seems to suggest that it's more about integration than it is about either/or.
Paul Arling: Sure yes, Comcast has done that. They obviously build a great product. They were the lead in this worldwide and they build their X1 platform a few years ago now and have incorporated over-the-top services within their interface. So they're one of the leaders here where they’ve combined the live TV option with the most popular over-the-top services that can be voice activated. So they’ve put all of those entertainment options into one easy-to-use interface. We do see this as a general trend in the industry and we think there are going to be many who adopt this platform because frankly they like us believe that the winners in the future are going to be those that build platforms that give the consumer what they want to watch, when they want to watch it. So one could easily sit down tonight and watch the NBA playoff basketball game and then voice-activate Netflix to go off and watch their favorite show there and watch their favorite show there and they will all get that within one easy to use intuitive voice activated interface. So we think these platforms are going to become more popular as time goes on.
Jeff Van Sinderen: So would it be fair to say that some of the new platforms that have not been rolled out yet are likely to also include OTT services?
Paul Arling: Correct, that's correct.
Jeff Van Sinderen: Okay. Good. All right. That's all I have. Thanks very much and best of luck, what we can take the rest offline.
Paul Arling: Thank you.
Operator: There are no further questions. I'd like to turn the call back over to Paul Arling for any closing remarks.
Paul Arling: Okay. Thank you for joining us today and your continued support of our company. I'd like to note in the next month or so, we will be at several conferences; B Riley FBR Institutional Investor Conference, Baird's Global Consumer Technology and Services Conference and Piper Jaffrey's 38th Annual Consumer Marketplace conference. We look forward to seeing you all there. Thank you and have a nice day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect.